Operator: Good morning, and welcome to TravelCenters of America's First Quarter 2020 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions]. Please note this event is being recorded.I would now like to turn the conference over to Kristin Brown, Director of Investor Relations. Please go ahead.
Kristin Brown: Thank you. Good morning everyone. We will begin today's conference call with remarks in TA's Chief Executive Officer, Jon Pertchik; followed by Chief Financial Officer, Peter Crage; and President, Barry Richards for our analyst Q&A.Today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and Federal Securities Laws. These forward-looking statements are based on today's present beliefs and expectations as of today May 5, 2020. Forward-looking statements and their implications are not guaranteed to occur and they may not occur. TA undertakes no under obligation to revise or publicly release any revision to the forward-looking statements made today other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements.Additional information concerning factors that could cause our forward-looking not to occur is contained in our filings with the Securities and Exchange Commission that are available free of charge at the SEC's website or by referring to the Investor Relations section of TA's website. Investors are cautioned not to place undue reliance upon any forward-looking statements.During this call, we will be discussing non-GAAP financial measures, including adjusted EBITDA and adjusted fuel gross margin. The reconciliation of these non-GAAP measures to the most comparable GAAP amounts are available in our press release that can be found on our website. The financial and operating measures implied and/or stated on today's call, as well as any other qualitative comments regarding performance should be assumed to be in regard to the first quarter of 2020 as compared to the first quarter of 2019 unless otherwise noted. Finally, I would like to remind you that the recording and transmission of today's conference call is prohibited without the prior written consent of TA.And with that, Jon, I'll turn the call over to you.
Jon Pertchik: Thanks Kristin. Good morning everyone, and thank you for joining us and for your interest in TA. In a little while, Peter will provide detail on the first quarter financial results. However, I'd like to begin by outlining three primary factors that impacted the first quarter, as well as share of strategic event that is taking place.First, COVID-19 adversely affected March gasoline volumes and the non-fuel business significantly. Resulting in us furloughing approximately 3,000 employees, primarily related to the full service restaurant business.Second, the 2019 polar vortex created extraordinarily severe winter weather in January and February 2019. And as a result truck service relatively underperformed in the same period for 2020.Third, severe rapid and abrupt downward fuel pricing benefited TA's fuel margins for the quarter.As to the strategic event I had mentioned, I'm very excited to announce that over the past few days we have undertaken the first steps in the execution of a comprehensive, reorganization and transition plan. We are currently onboarding several new Senior Vice Presidents in the areas of a new corporate development team, new Head of Hospitality and a new Chief Information Officer. I'm incredibly empathetic for those affected by our reductions in force. I'm excited to be in this begin this historical event and TA's 47-year history.The COVID-19 pandemic has had a significant impact on our company. As we noted on our press release in late March, TA's business has been designated as an essential service by many public authorities, which has allowed TA to continue operating and to serve an important role in supporting the nation's supply chain. As a result of the initial increase in demand for certain products early on in the COVID-19 pandemic, businesses and households stocked up and TA experienced increased diesel fuel volume during the first quarter over the prior year. While demand for gasoline declined due to stay in place orders and other reductions in activity.Additionally, demand for certain of TA's non-fuel businesses have been impacted in varying increases, the full service restaurants declined the most significantly during the second half of March, due to social distancing and other government mandated measures. This led to the difficult decision in mid-April to temporarily shut most of our full service restaurants and furlough approximately 3,000 people.Given the lack of clarity on the depth and duration of this crisis, we have also agreed with IHOP to delay for a year, our plan to convert some of our full service restaurants and our TravelCenters to IHOP. We have also significantly reduced planned capital expenditures in 2020 to focus on maintenance and other essential items.Comparatively, speaking in the first two months of 2019 enjoyed particularly positive performance especially in certain businesses including truck service due to increased breakdowns resulting from the extreme weather. Therefore the prior year index for the first two months of 2020 was elevated making the 2020 truck repair business showed particularly poor performance as compared to the prior year.During precipitous drops in fuel pricing TA tends to benefit with higher than normal margins. The first quarter provided extraordinarily abrupt reductions in pricing and as a result TV's fuel margins were high which offset the impact of the pandemic on fuel volumes.Last Friday, we announced that we have taken the first formal steps in the execution of our turnaround and reorganization with a focus on rightsizing historical SG&A growth which has significantly outpaced revenue growth for nearly a decade.As I mentioned on February's call TA's SG&A has grown at an unsustainable annual growth rate of 7% in 2012, while non-fuel sales have grown at a 5% CAGR and overall fuel volumes declined by almost 3%. By enhancing our overall leadership team with new key leaders and identifying operational efficiencies we intend to create a better running organization with improved visibility and accountability as well as improved financial performance.The Reorganization Plan includes significant leadership changes to complement our new Chief Financial Officer who joined several months ago as well as my arrival at the end of 2019. We are adding two Senior Vice Presidents; one, for a newly created hospitality department under which the areas of restaurants, gaming and convenience stores will be consolidated, as well as in information technology. These leaders bring decades of valuable experience as well as initiatives, critical skills and new visions and approaches to these crucial, but underperforming areas of TA's business.In addition as part of its Reorganization Plan TA is reducing its corporate headcount by a total of approximately 130 and eliminating certain positions. On an annualized run rate basis the SG&A changes are expected to result in a net annual recurring savings of approximately $13.1 million.We have also created a corporate development department under the leadership of a third additional new Senior Vice President to focus on driving our re-organizational initiatives. Key among these initiatives is the creation of a central procurement department to consolidate purchasing, drive economies of scale pricing, improved standardization and to apply professional negotiating skills to the company's procurement activities. Our search for and SVP of procurement is underway.The new leader of the Corporate Development Group; Dennis King has begun to review a long comprehensive list of initiatives that he is prioritizing based on size of opportunity and organizational time and cost to realize. By way of example these initiatives include cost savings and increased revenues including merchandising in the convenience stores over the road delivery, truck repair training and staffing and IT systems among many others.While it is always difficult on a personal level to undertake reductions in force, there is a level of anticipation and excitement over the opportunity to drive meaningful change in such an established historic large and complex organization like TA. I believe, we now have the team in place to take the company forward, although it will take time for the initiatives to be fully realized and the COVID situation is likely to impact the implementation of certain initiatives.However to be clear, these changes we announced Friday have nothing to do with the current health and economic crisis. I have everything to do with executing our turnaround strategy and driving toward long-term shareholder value by focusing on the methods and ways to improve the financial health and function of the organization. There is a new day for TA.Turning to our first quarter operating performance, our overall fuel sales volume increased by 16.9 million gallons or 3.6%. In addition to increased trucking activity during the last two weeks of March, as the implications of the COVID-19 pandemic began to be widely understood, we believe these increases were also driven by our UltraONE customer loyalty program which was introduced early last year as well as business one from fleets by our commercial sales team and improved market conditions during the first 2.5 months of 2020.We have also changed some aspects of our approach to fuel pricing and purchasing which seems to have provided some benefit. Within truck service, year-over-year performance was significantly off and as mentioned this was partly due to an unusually strong 2019 January and February, resulting from the polar vortex and its beneficial effect on the repair bits and partly due to continuing challenges relating to tech attrition and overall execution.This is one of the very top focuses of our reorganization and is the first priority for our President Barry Richards. I'm confident we will be successful in turning around the hallmark part of our overall business. Newer trucks on the road do generate strong demand for diesel exhaust fluid or DEF which continues to benefit our store division revenue. We expect the demand for DEF to continue growing as more pre-2011 model year trucks are retired each year.Reasonable performance from our quick service restaurants with more than offset by the underperformance of our full service restaurants, which were impacted by government mandated temporary closures and then as a result experienced sharp revenue decline during the second half of March. Overall, restaurant revenues decreased by 5.1% or $5 million versus the prior year quarter.Finally in terms of our network expansion we have signed 18 new franchise agreements under one of TA's travel center brands since the beginning of 2019. We began operations during 2019 or have opened year-to-date and we anticipate the additional 10 new locations will open by the end of the first quarter of 2021.In addition, we are currently negotiating franchise agreements for an additional 13 travel centers and are engaged in later stage of the discussion and negotiation with operators of another six locations, with approximately 83 other sites in various phases of the application and diligence process.To conclude, this has been an unusual quarter between same period prior year anomalies and the COVID-19 crisis. However, I could not be more excited to have our team in place and begin execution of a wide range and long list of improvement initiatives focused on organizational efficiency and adaptability creating a financially centric and disciplined culture and implementing stringent cost controls. This brings on an entirely new day for TA. I would also like to thank our employees for their hard work and dedication. And all the professional drivers and fleets for allowing us to serve you as we navigate through this unprecedented time together.And with that, I will hand the call over to Peter to discuss this quarter's financial results.
Peter Crage: Thank you, Jon and good morning everyone. For the first quarter, we reported a net loss of $18.5 million or $2.23 per share. Excluding several one-time items, we reported an adjusted net loss of $15 million compared to an adjusted net loss of $14.6 million in the prior year. We reported adjusted EBITDA of $10.3 million for the quarter, a decline of approximately $1 million versus the prior year.The decrease in adjusted EBITDA was primarily due to a decrease in non-fuel gross margin and an increase in site level operating expenses, partially offset by an increase in fuel gross margin and lower real estate rent expense. Fuel gross margin increased by $7.2 million or 9.6%, as compared to the prior year.Excluding a $3.5 million benefit from the federal biodiesel blenders' tax credit in the 2020 first quarter and the $2.8 million one-time benefit due to the reversal of loyalty awards recognized in connection with introducing a revised customer loyalty program in the prior year first quarter, fuel gross margin increased by $6.5 million, or 9.1%, as compared to that prior year. The increase in adjusted fuel gross margin was due to 3.6% increase in fuel sales volume in a more favorable purchasing environment, primarily in March of this year.Non-fuel revenues decreased by $15.9 million or 3.6%, primarily as a result of a decrease in revenue of the company's standalone and full service restaurants, driven by government mandated temporary closures amid the COVID-19 pandemic, as well as strong prior-year first quarter for truck service and store and retail services, as a result of the extreme cold weather, relative to the mild weather in the 2020 first quarter.These decreases were partially offset by an increase in diesel exhaust fluid revenue as a result of a higher number of newer trucks on the road compared to the prior year, as well as the positive impact of our marketing initiatives on the performance of our quick service restaurants.Non-fuel gross margin decreased by $9.3 million, or 3.4%, due to the decrease in non-fuel revenues, partially offset by a 10 basis point increase in non-fuel gross margin to 61.9%. Site level operating expense has increased $3.8 million, or 1.7%, and site level operating expense as a percentage of non-fuel revenues was 55.7%, as compared to 52.8% for the prior year.This increase primarily reflects higher labor costs as a result of new positions created from the realignment of TA's regional and field management structure during the prior year fourth quarter, an increase in bonuses to field employees who continue to work during the COVID-19 pandemic, an increase in medical and workers' compensation claims expense, and general liability claims expense. These increases were partially offset by decreases in non-labor expenses, including maintenance and environmental expense and inventory shrink.SG&A expense for the first quarter was $37.2 million, roughly flat with the prior year. Decreases in legal fees and marketing, as well as reduced headcount, as a result of the realignment of TA's regional and field management in late 2019, were more than offset by $1.7 million of expenses related to executive separation and retirement agreements and executive recruitment fees recognized in the first quarter of this year.Real estate rent expense decreased by $2.8 million, or 4.3%, primarily due to our purchase of 20 travel centers from SVC in January of 2019. As previously disclosed, this reduced the annual minimum rent we pay to SVC by $43.1 million. Given our current leasing arrangements, we continue to expect our real estate rent expense to run at a quarterly rate of approximately $64 million.Depreciation and amortization expense increased by $3.8 million, or 15.4%, primarily due to an asset write-off of $5.2 million related to an investment in a system for truck service deemed no longer viable.Turning to our liquidity and balance sheet for a moment. At March 31, our cash balance was $20.3 million. We have no amounts outstanding on our $200 million credit facility as of April 30, 2020, and we have no near-term debt maturities. We have collected $32.1 million in cash refunds related to the Federal Biodiesel Blenders' Tax Credit and expect to collect the remaining $38.1 million by the fourth quarter of this year. These cash refunds will be used to fund 2020 initiatives that would have otherwise been financed with the credit facility. As of March 31, 2020, we owned 50 travel centers, five standalone restaurants and a standalone truck service facility that were unencumbered by debt.In February, we closed on a $16.6 million secured financing of a TA travel center located in West Greenwich, Rhode Island. This represented a 66% loan to value based on an appraised value of $25 million. The loan has a 10-year term with a fixed rate of 3.85% for five years and we'll then reset for the final five years based on the five-year FHLB rate plus 198 basis points.During the quarter, we invested $16.6 million in capital expenditures. We did not sell any improvements to SVC during the quarter. We have also revised our 2020 capital investment plan to be approximately $62 million down from $118.9 million previously. As we have deferred all non-essential projects to 2021 in order to preserve capital and maintain our financial flexibility amid the ongoing COVID-19 pandemic.We also expect to incur one-time costs of approximately $4.2 million associated with the reorganization plan Jon discussed. These costs consist primarily of severance outplacement services stock-based compensation expense associated with accelerated vesting of previously granted stock awards for certain employees and fees for the recruitment of certain executive positions. TA recognized and $404000 of executive recruitment fees during the first quarter and expects to recognize the remainder of these costs during the second quarter of this year.That concludes our prepared remarks operator and we are now ready to take questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] First question today comes from Bryan Maher with B. Riley FBR. Please go ahead.
Bryan Maher: Good morning guys, hope you're doing well in this difficult time. Couple of my questions from on the reorg plan and the subsequent layoffs, particularly on the corporate side, can you drill down a little bit as to what type of decisions or what departments were affected with those layoffs?
Jon Pertchik: Thanks, Brian. It's Jon and I hope you're well as well through this crisis. The layoffs in at corporate as a significant part of the plan are really throughout the organization. We've done our best to attempt since I first got here really almost since day one to try to evaluate our people, process and technology. Initially, it was just me as a new fresh face from outside and then Peter and we looked as best in hard as we could throughout the organization and attempted to find places where the core functions of what we do as an organization, how should this company be organized to support those core functions and that was the sort of guiding principle and we look throughout the organization and I'm not sure there was one department that was unaffected.And so we found opportunities to consolidate roles, to move functions from one area to another to consolidate functions. So the headcount reduction we wanted to make sure we did in one fell swoop, so we didn't signal to the organization, hey, go look for another job. And that's what we undertook last week. Hereafter, we will be consolidating and moving people that's still happening, we don't anticipate that will result in any further reductions, but there is continuing consolidation of bits and pieces of the company in a few critical areas I'm happy to explore that are still being undertaken. Really last Thursday was the first real step, up until then was really planning and preparation. These are now the first two or three steps I guess less than a week later few days later that we're beginning to start march forward under this new plan.
Bryan Maher: Okay. When we think about the $13 million in savings in SG&A, how quickly does that kick in I mean with a lot of layoffs one would suspect maybe kicks in sooner than later of course backing out the $4 million in charges, I mean is that a 2Q 2020 and on or is that really your outlook for 2021?
Jon Pertchik: Sure. So first of all that is the full-year run rate, right. So here we are into May. So one-third almost 40% of the year is behind us, so the $13.1 million is the run rate. The first then discount off of that for -- it's just a partial year that we have in front of us, and then furthermore there were severance and other kinds of reorganizational expenses that really primarily to severance and things related that will impact us for some period of time here perhaps when I pause here, Peter can piggyback behind me to give you a clearer sense, but the run rate in fact should be happening but it's offset -- is effectively immediately but it's offset by these near term severance obligations and related. Go ahead, Peter.
Peter Crage: Sure. Hi, Bryan. Peter Crage. Yeah $13.1 million, obviously, is the run rate. We're expecting our estimated $8.6 million of savings from this reorganization in 2020 back off the $4.2 million and reorg so an effect of approximately $4.4 million on EBITDA.
Bryan Maher: Okay. And then shifting gears a little bit, and maybe Peter will stick with you for a second here. That was an impressive property financing you guys did up in West Greenwich, is there an opportunity that you might be exploring to do more of those kind of a sub 4% interest range and retired for a component of your 8% plus baby bonds.
Jon Pertchik: Obviously there are opportunities there. We're taking a look as you might expect given the pandemic and giving focus on liquidity one of the first things I jumped into when I got here is to look at all these options as the clearly options. So we called out the 50 properties that we own outright in our unencumbered. So we're looking at a number of alternatives and that could very well be one of them.
Bryan Maher: And maybe Peter this might still be for you on that $5 million write-off that you guys referenced for some truck servicing initiative, can you give us little more detail what that was?
Peter Crage: Yeah, as I understand the truck service program, believe me it maybe off shelf, but ultimately became a bespoke work order -- work order program for the truck service group was initiated I believe a few several years ago. A couple of three years back it was determined that was having challenges and difficulties. And although the team I think tried to focus on it over the last year or two was ultimately concluded that this work order program truck service program was just wasn't viable any longer. So we took the rest of the charge in the first quarter of this year. So it's completely written off.
Bryan Maher: And then when we think about the full-service business, maybe shifting back to Jonathan or possibly even Barry, are you guys getting indications from the states that are reopening that you might be able to reopen those restaurants soon?
Jon Pertchik: Yeah, I'll start Bryan, and thanks for the question and I'll probably ask Barry to fill in behind me. We have already undertaken rolling some locations on right now and we're doing it in a very prudent self-disciplined way. So where we are opened up in certain places in Georgia as an example, we're opening with limited hours with a much more, I'll call it disciplined menu, our offerings I think at some of our restaurants are in the 67, 68 item range that inefficient. So we're opening on a more like a 25, 27 item basis and in general we intend and already have begun rolling on some of these but in a much more disciplined way that quite frankly I think in some unexpected way this pandemic does give us an opportunity to look really hard at how our full service restaurants operated in the past, separate and parallel from the move toward and with IHOP that we've also mentioned in the release in our discussion earlier. This gives us an opportunity to explore ways to become more efficient in the full service restaurant side. But with that Barry maybe if you'd like to chime in behind me that would be great.
Barry Richards: Yeah. Hey, Brian, how are you?
Bryan Maher: Doing well. Thanks.
Barry Richards: Alright, good. Listen, so yeah I think the theme of this is limited hour’s, limited menus, and limited service. So because of the restrictions that are still in place, I don't think any of the states that have allowed us to reopen, allow us to have 100% occupancy in the summary low as 25%. So it gets real difficult to be effective. So those are some of the things we're monitoring when we decided to reopen a restaurant.But as Jon said, if there is driver demand out there, we're opening up of the limited menu and it's going to take fewer people to operate and the hours will be reduced. I would also point out that the sell bar and pay features, won't be coming back, at least for this initial opening. And you know that landscape could be changed forever just given public reaction. So we'll kind of have to wait and see. But, those are the plans we're keeping track of what the Governor's allow.And then sometimes after that, municipalities will chime in with tougher restrictions or I know the governor said it was okay to open but, you're going to have to wait for a while on these certain services. So, it's very complex. And we monitor it hour-by-hour and try to stay ahead of it. And be ready to reopen as the market wants.
Bryan Maher: And just two last short-ones for me, the IHOP delay, is there any financial repercussions or cost associated with that or was it just put on a pause?
Jon Pertchik: It was just put on a pause, I mean there is an -- there are far number of reasons. But one, there is a significant capital expenditure related to conversion, I think too IHOP may face their own challenges for the time for the short-term. And so it seem to make sense just to pause on that while, we sort of see, how close the light is at the end of the tunnel and how bright it becomes then how quickly and so forth.
Bryan Maher: Got it, and just lastly you talked about, curtailing CapEx spending for 2020. Can you share with us what range you think that might be is it $50 million to $60 million, $60 million to $70 million, $70 million to $80 million?
Jon Pertchik: Sure, Bryan. And the answer is depended quite a bit on, what fact come to us over the next few months of course. But the year started with a budgeted or plans for and I think we referenced this earlier $118 million.As we started to see the early signs of COVID and all of the sudden start realizing this was going to become -- go from a health crisis for the country to a financial crisis. The lever that we have that we can most quickly and relatively easily pause to preserve liquidity for as long as this thing could have gone, this is the sort of thought process over a month and a half ago.We quickly look to CapEx. And so the number we are managing toward right now is $62 million, from $118 million. And even that, there maybe some opportunity to control further depending on what again that come to us and so that I think is, a very realistic number.We manage this extremely carefully with intense focus at the very highest levels. In effect $20 million has already been roped completed and effectively spent, about another $19 million is in process right now.So there is another $20 million that's to be spent and to be started to potentially move the needle not suggesting for a second $62 million, could come down to $42 million if that's not possible.But that is the realm within which we can expect things. On the other hand, quite frankly, as we see the light at the end of the tunnel and there are some early signs now, again we're not pulling levers yet. It's premature.But as we see states opening up and easing and people starting to get out, which may be reflected in consumption. We're also prepared, put our foot slowly and cautiously on the accelerator there too. But that's the number for now that we're managing against or toward.
Bryan Maher: Great thanks. That's all from me. And good luck with the second quarter.
Jon Pertchik: Thanks Bryan, appreciated.
Peter Crage: Thank you, Bryan.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Jon Pertchik, for any closing remarks.
Jon Pertchik: Thank you. And thanks everybody for joining today and for your interest in TA and for your attention this morning. Have a great day. Stay safe. And I look forward to the next time we have a chance to speak again. Thank you.
Operator: This conference is now concluded. Thank you for attending today's presentation. You may now.